Operator: Good day, and thank you for standing by. Welcome to the Q4 2024 CoStar Group Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today’s conference is being recorded. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Rich Simonelli, Head of Investor Relations.
Richard Simonelli: Hello, and thank you very much for joining us today to discuss the fourth quarter 2024 and full year 2024 results for the CoStar Group. Before I turn the call over to Andy Florance, CoStar's CEO and Founder; and Chris Lown, our CFO, I would like to review our safe harbor statement. Certain portions of the discussion today may contain forward-looking statements, including the company's outlook and expectations for the first quarter as well as full year 2025 based on management's current beliefs and expectations. Forward-looking statements involve many risks and uncertainties, assumptions and estimates and other factors that could cause actual results to differ materially from such statements. Important factors that can cause actual results to differ are not limited to those stated in CoStar Group's press release issued earlier today and in our filings with the SEC, including annual reports on Form 10-K and quarterly reports on Form 10-Q included under the heading Risk Factors in those filings as well as in CoStar Group's other filings with the SEC, including current reports on Form 8-K that are all available on the SEC's website. All forward statements are based on the information available to CoStar at the time of this call. CoStar assumes no obligation to update these statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Reconciliations to the most directly comparable GAAP measures of any non-GAAP financial measure discussed on this call are shown in detail in our press release issued today, along with the definitions for those terms and that press release can be found on our website, costargroup.com under Press Room. As a reminder, today's conference call is being webcast. Please refer to today's press release on how to access the replay of this call. Remember just one call for person. And with that, I'd like to turn the call over to our Founder and CEO, Andy Florance.
Andrew Florance: Again, thank you for joining CoStar Group's fourth quarter and year-end earnings call. We achieved another very strong quarter of financial results with 2024 full year revenue and adjusted EBITDA exceeding consensus and the high end of our guidance range. Revenue for the full year of 2024 was $2.74 billion, an increase of 11% over the full year of 2023, as we delivered our 55th consecutive quarter of double-digit revenue growth. For the fourth quarter of 2024, revenue was $709 million, an 11% increase year-over-year. We continue to generate profit while we are investing aggressively back into the business to create powerful future growth drivers, such as Homes.com. For the full year, our commercial information and marketplace businesses achieved a very strong 43% profit margin. For CoStar Group, net income EBITDA and adjusted EBITDA significantly improved each quarter in 2024. We grew net income from $7 million in the first quarter of '24 to $60 million in the fourth quarter. We increased EBITDA from negative $13 million in the first quarter to $73 million in the fourth quarter. We grew adjusted EBITDA from $12 million in the first quarter to $112 million in the fourth quarter. Our adjusted EBITDA of $112 million in the fourth quarter was well ahead of our guidance range of $76 million to $86 million. Our average monthly unique visitors to our global websites increased 17% year-over-year to $134 million in the fourth quarter of 2024, according to Google Analytics. Company net new bookings were $53 million in the fourth quarter of 2024, up 21% sequentially from the third quarter of 2024. Net bookings are increasing because our sales forces are now optimized and back to selling their respective core product offerings. When we launched Homes.com sales just 12 months ago, we only had 41 Homes.com sales professionals to prospect over 1 million real estate agents. To backstop this very small team, we temporarily test all of our sales forces to sell Homes.com. We no longer need to do that because over the past year, we've grown the Homes.com sales force nearly six-fold to 277 salespeople. We anticipating having -- we anticipate having 500 home salespeople by year-end 2025. The dedicated home salespeople understand the significant value proposition Homes.com offers well. So they sell more, service more effectively, earn much higher NPS scores and renew the business at much higher rates. From all perspectives, having homes Expert sell Homes.com CoStar Expert sell CoStar and apartments experts sell Apartments.com yields higher net bookings. Our CoStar product achieved $1.02 million -- $1.02 billion in revenue in 2024, with a growth rate of 10% year-over-year. CoStar continues to be the preeminent source of information analytics for the industry. During the worst commercial real estate market in our lifetime, we have grown revenue, adjusted prices for inflation, and launch innovative, valuable new products and features like lender and hospitality benchmarking. With the full CoStar sales teams focused on selling CoStar December 2024 was the highest month of net bookings for CoStar in almost two years. Q4 2024 net new bookings were the highest since Q3 of 2023. We are pleased to report accelerating CoStar sales in the year as we cross $1 billion in CoStar revenue. The CoStar subscriber base has grown to over 240,000. Our renewal rates are very strong at 92%. We monitor our Net Promoter Scores closely to continually improve our service offering and maintain high renewal rates. Over the past three years, our U.S. CoStar NPS has improved 10% to 65%. Our Canadian CoStar NPS has improved 25% to 60%. Most notably, our U.K. CoStar NPS has improved 35% to 65%. That's really remarkable improvement there. The U.K. CoStar team's significant success in achieving high NPS scores might have led to our primary U.K. competitors, EG's recent announcement that they were withdrawing all their products and services from the U.K. in 2025. EG or States Gazette was founded 166 years ago in 1858 during Queen Victoria's reign and before Abraham Lincoln became President. CoStar has competed against EG and its various companies since we acquired Focus in the U.K. in 2004. We first began competing with them. They were primarily a weekly commercial property news magazine, stuffed with hundreds of high paying property ads, but they launched an online commercial property service. EG has also launched an online marketing service called EG Property Link that compete with LoopNet. As CoStar gained leading share in the U.K., EG merged their information offering into a brokerage affiliated consortium called Radius. EG was owned by the information giant RELX. In their announcement, they cited irreparable impact of headwinds that have struck the whole of commercial real estate industry hard. I'd like to believe that to some degree, the quality of research field -- research service and technology that our team provides played some competitive role. RELX may have sold or may in the future sell elements to discontinued businesses to other companies, it’s with respect that we acknowledge the hard work contribution achievements of one of the U.K.'s leading commercial property and information sources over 166 years. It's our competitors that motivate us to be the best we can be. Obviously, the Syria economy has created strong headwinds for CoStar over the last four years as well, but I believe those headwinds may shift to tailwinds. I believe that the Syria economy has passed its nadir and is moving into what may be a very strong recovery. Demand and absorption for office space turned meaningfully positive at the end of 2024 for the first-time since 2021. Availability rates are falling, total available space is declining. Sublet vacancy rates are falling, sublet rents are climbing. The new construction pipeline is shut off and net supply after depreciation and obsolescence is contracting. The economy is strong and resilient. We read stories about major corporations mandating five days a week in the office and then the observation that there's not enough space for the company in their offices to allow everyone to return to work. In the first quarters of the pandemic, office owner steeply discounted prime office space and leased it to tenants who normally have a second generation budget. I believe that we could see very strong rent growth in the years ahead with capital appreciation. We are already seeing sales transactions return to pre-pandemic levels and cap rates are rolling over their peaks. I've managed CoStar through four economic cycles or four real estate cycles. And every time the world is certainly the office sector will never again regain its value. And yet every time the correction over the shoots in the office economy roars back. CoStar and our clients may enjoy tailwinds in the next few years. The CoStar for Lenders product continued to gain momentum this past quarter. Q4 was our best quarter for the year with $1.7 million of net new annual revenue in December across 17 institutions, bringing total annual revenue to $75 million, including risk analytics. We now have signed up 370 institutions of all sizes and types, who collectively manage over $1 trillion of CRE debt, reinforcing our role as a key solution in the industry. Clients have been actively uploading portfolios over the last two years, further validating our long-term adoption stickiness and the depth of our platform's integration into our clients' lending cycles. Additionally, we're seeing a growing number of clients transitioning from their initial CECL or current expected credit loss and stress test solutions to ours. A clear sign that our platform is outperforming alternatives and capturing market share in a regulatory-driven segment. Despite a challenging high interest rate environment and cautious lending landscape over the past couple of years, we had continued to demonstrate consistent revenue growth in our lender solution. Corporate real estate departments are increasingly subscribing to CoStar as well to manage their costs, find the best spaces to support their operations and efficiently renew their leases. These corporations already rely on brokers who are very often using CoStar. But increasingly, corporate users want direct access to CoStar as well to support a faster velocity and analysis and decision-making. New corporate subscribers to CoStar this year include great brands like Amazon, Visa, Ecolab, Macy's, Church's, UnitedHealthcare, Cracker Barrel, Cisco, Edward Jones, Salesforce, Sherwin-Williams, LG and many others. CoStar Group leases announced more than 1 million square feet of real estate across dozens and dozens of locations, and our facility staff as well use CoStar daily and find it indispensable. Despite it being some of the most important information owners and tenants need. Historically, accessing accurate and useful rent information has been very problematic and difficult in CRE. Rents are quoted a myriad of ways with numerous modifiers and inclusions and exclusions that can completely change the meaning of the numbers. Often, the details of individual lease deals are closely guarded. We have begun the integration of CoStar Real Estate Manager and our newly acquired operation visual lease, managing more than 1 million leases for thousands of major corporations. These two companies are leaders in lease accounting, lease management and transaction management. Our intention is to build the next generation in corporate real estate digital solutions by integrating these two products with CoStar and empowering our clients with the anonymized aggregated information we and this community of corporates can bring together. Just as CoStar STR aggregates and anonymizes the confidential pricing and occupancy information for the world's major hotels and creates in invaluable, accurate and precise hospitality revenue information that, that industry relies on, we intend to do the same thing for corporate real estate. This would empower decision makers to quickly evaluate potential transactions and understand if they're reasonable in the marketplace. Corporate occupiers with hundreds or even thousands of leases renewing in a quarter or year would have very good visibility into how new rent levels would increase or reduce their cost on renewal. Within CoStar, users would be able to access very precise rent levels by geography, segment and quality, empowering them to make better informed leasing, valuation, lending, transaction development and investment decisions. Building this next-generation corporate real estate solution and the associated rent indices is one of our top priorities for CoStar in 2025. We believe that the total addressable revenue opportunity for CoStar is enormous and that this initiative will help us recognize more of that huge TAM sooner. We continue to make good progress on building CoStar in Europe and particularly in France for the top markets there, and we expect to release CoStar France by year end 2025. We intend to grow the CoStar sales team by 20% this year. Turning to LoopNet. It's the most heavily trafficked marketplace for commercial real estate in the United States and one of the most effective ways to market commercial real estate. We believe that it has more than $1 billion TAM in the U.S. alone. In 2025, one of our primary objectives is to move the asset based pricing -- move to asset based pricing, where the price to market high-value properties is greater than the price to market lower value properties. We have begun renewing contracts on this basis and for the first cohort of contracts that received price increases, 98% have renewed at the significant price list. We believe that we can expand the volume of properties market on LoopNet by lowering the price point for some properties for which the current one size fits all pricing is not affordable. We are shifting our sales force's emphasis from selling a few higher priced depth advertisements to selling higher volumes of asset based priced advertisements. While we will continue to sell the higher tier ads, we believe that we will generate significantly more revenue growth by selling a higher mix of the silver basic tier ads that renew at a very high level. Along with crossing the $1 billion revenue mark in 2024, Apartments.com turned in a very strong fourth quarter. Revenue was $276 million for the fourth quarter of 2024. Our multifamily revenue is subscription-based with outstanding customer satisfaction with NPS scores of 94 or average NPS score of 94 and very high renewal rates in the 90s with a monthly renewal rate of 99%. In 2024, we reached 90% of renters and all of our prospects and clients through almost every marketing channel. In 2025, we expect to deliver 13 billion impressions across TV, streaming video, podcasts, social media and influencers, direct digital paid search and display. We'll be launching five new advertising spots for Apartments.com with Jeff Goldblum. Our marketing campaign continues to deliver with top programming venues. In March, you'll see us all over March Madness. Our unmatched retargeting program creates 1 billion annual impressions and 1.4 million leads. Apartments.com continues to be the industry leader across many key metrics. We have set the standard in multifamily for high quality leads and a strong in-person sales force. Apartment owners see Apartments.com as number one in the metric that matters most to them delivering leases. In 2024, according to Entrada, we produced 1.5 times more leases than all of our competitors combined. Most importantly, Apartments.com delivered 3 times the number of leads that convert to leases compared to our competitors. So with the most leads and the best conversion rate, we delivered 4.8 times more leases than other rental networks. We dominate apartment search engine results and are number one in organic search for the term apartments. We are also number one in paid search with 1.8 times more than all the competitors combined. We had 35 million average monthly unique visitors in the fourth quarter for our Apartments.com network. SimilarWeb reported that Apartments.com had the most visitors in 2024 and more than Zillow and rent.com combined. The Apartments.com network delivered by far the most visits in the industry with $920 million in 2024. With consumers, we have dominated brand awareness with two out of three apartment seekers saying they will use Apartments.com, that is nearly double Zillow and 5 times more than rent.com. We have higher brand awareness than Zillow and Rent.com combined among apartment seekers. We continue to add new customers with properties of all unit counts to our marketplace at a rapid pace with more than 75,000 paying apartment communities on our network, up 7% year-over-year. This includes more than 10,000 in the 5- to 49 unit range. Business to our House condo and townhouse pages increased 25% year-over-year and 32% in Q4 2024 over the prior year. We increased the number of single-family rental listings by 26% over $3 million year-over-year or over $3 million, not year-over-year. In 2024, paid single-family rental listings increased 59% year-over-year to 323,600, with a number of independent rental owners using Apartment.com climbing to 13% to 244,000. For the year, we processed nearly $5 billion in rental payments or just over $5 billion in rental payments. In a little over a year, we are already number one in traffic in Canada, our newest Apartments.com market which demonstrates the success we can have extending a brand from one market -- one country to another. There's still a lot of room to grow this business. We see $2.6 billion of opportunity in the 20 unit plus buildings and above, and there is much more opportunity below 20 units. We believe there is more than a $9 billion TAM in multifamily. We intend to grow the Apartment.com sales force headcount 23% in 2025 to keep up with the potential of the site. Last week, Redfin announced an agreement to transfer basically the guts of the apartments Redfin portal business to Zillow. Redfin acquired RentPath, the parent company of rent.com, an apartment guide for $608 million in February of 2021. Redfin was able to purchase RentPath after the FTC blocked our $588 million purchase of it after RentPath had gone bankrupt. On the day Redfin purchased RentPath, its stock was trading at 98 a share. And since that date, their stock is dropped precipitously down 91% to $8.87 a share at yesterday's close. I think it's safe to say that Rent.com has not performed well under Redfin. So probably good that it's moving on. While the announcement called the deal of partnership, I believe it's effectively a sale of the asset that attempts to avoid FTC regulatory review. I find it hard to believe the FTC will ultimately surrender the authority to investigate the potential loss of competition that this deal appears to achieve. We believe that if present to the FTC as a transaction, the FTC would obviously block such a deal. As part of the deal, Zillow pays Redfin $100 million upfront. Redfin terminates 450 of the vast -- or Redfin will be terminating 450 or the vast majority of the Rent.com staff, and Redfin will attempt to transfer its apartment property management clients to Zillow. Effectively going forward, Rent.com will no longer operate as a normal independent competing website, but rather will only operate as a shell syndication site sending leads to Zillow. We do not know the terms and costs of the lease syndication deal, but I would not be surprised if Zillow ultimate has to pay Redfin hundreds of millions, if not $1 billion for what we see as relatively low converting leads. This would not sound like an attractive transaction. Certainly, apartment property managers will have less choice now. We see a large opportunity to win away many of the properties formerly market on rent.com without paying Redfin amass sum of money. It feels like jump ball on the former Redfin clients, and our Paige Forrest and team are quite tall. We launched the new Homes.com just one year ago during Super Bowl 58. And roughly at same time, we acquired the residential portal on the market in the U.K. and relaunched it as well. In just one year, we've made tremendous progress towards our goal of providing the leading residential real estate portals and monetizing a new multi-billion dollar TAM opportunity for CoStar Group. In less than one year, the Homes.com network became the second largest real estate portal in the United States based on traffic with an audience of $110 million average monthly unique visitors in the fourth quarter, according to Google Analytics. 110 million unique visitors is nearly double realtor.com's 62 million average monthly unique visitors that News Corp reported for the same quarter recently. I think that's remarkable. Realtor.com launched 30 years ago in its predecessor form back in 1995, and we passed them in apples-to-apples traffic in our first year of the relaunch. We began the year with our low-single digit unaided awareness and during the year 00 built and grew that awareness number to as high as 33%. As we complete our second successful Super Bowl campaign and launch our 2025 campaign, I believe that we can reach 50% unaided awareness this year potentially surpassing in two years with our competitors spent 30 years building. We began last year with 41 Homes.com salespeople, and today, we have 275. With job offers outstanding, we are forecasting an additional 50 hires in March alone. Our goal is to have 500 Homes.com salespeople in place by the end of the year and productive. Achieving that goal, our Homes.com sales force will go from basically not existing last year to being one of our largest sales teams in just two years. Despite that, the fact is the entire team is literally rookies, but they're selling effectively. During Q4, the team in production sold on average 1,742 net new monthly revenue. As the denominator grew dramatically coming into January with more new head count, the January number remains strong at 1,636 net new per month. In January, the dedicated home sales team sold $3.73 million in annualized net revenue based upon that group's sales and their cancels. I expect that as the team both grows and becomes more experienced, that the sales numbers will increase significantly. The dedicated home sales team is significantly more effective at servicing our new clients, achieving good net new promoter scores and renewing business then was the stop gap broader sales effort we put in, in the beginning of the year on ad-hoc basis. We launched the new Homes.com memberships last year, I believe we offered a better value proposition than did the legacy residential portals, but it required educating real estate agents accustomed to buying agency leads for 30 years, and we need to educate them to the fact that we were selling solutions to win more seller listings. Simply put, Homes.com provides a unique Internet marketing solution that helps agents sell the home they were hired to sell faster and for more money, making them better listing agents. Because they can show prospective homebuyers that they have a superior selling solution, they should be hired more often. In contrast, the legacy solutions in the past 30 years sell agents leads that really belong to competing agents. Our model is used by 95% of the real estate portals around the world and is associated with profitable real estate portals. And that stands in contrast to the legacy U.S. portals, which are really in the minority with the lead diversion model and has struggled with profitability. When we first launched, many agents thought that we were just like the legacy portals selling them leads that belong to competing agents. So initially, we had negative NPS scores that need improvement. As we built a dedicated Homes.com sales team just focused on selling and servicing residential agents, they did a much better job communicating our superior value proposition. Our NPS scores have climbed dramatically throughout the year. When the broader sales force first began selling last year, our NPS was negative 40. But by January, our dedicated home sales team is achieving an average NPS score of 28, which is in the good category and 2 points away from the great category. At CoStar Group, we're accustomed to consistently achieving great and excellent NPS scores, but brand new products do not launch it excellent. When apartments first launched the NPS scores were 10 and now a decade later I mentioned, the average 94. Homes.com’s MPS, climbed 68 points in just one year. I want to congratulate the team on that achievement. It's an incredible accomplishment. We already have many of our Homes.com sales reps earning excellent MPS scores at 80 and above. Our goal is to get everyone up in that range. We expect that higher NPS scores will drive higher renewal rates and drive additional sales through referrals. When we relaunched an all-new Homes.com site one year ago, I felt we offered one of the best search experiences for buying or selling a home. While I was extremely proud to work with exceptional development product teams on such a successful launch. I am even more proud by how much those teams have accomplished in the first 12 months after that great initial launch. At our sales conference a week or so ago, I walked through over 110 new important features our teams added to the product across 2024. The features are too numerous to detail but include innovative valuation tools, lead verification, search by commuting distance, visualization layers to assess crime, schools, renters, owners, residential and adding residential news and much, much more. When I look at the product road map in the year ahead, I believe it's the most innovative work that I've ever seen in my career by a wide margin. I feel that everyone in the Homes.com product and development team is excited to be working on one of the most effective, innovative and exceptional development teams anywhere in any industry. There are three major initiatives for Homes.com in 2025 that we believe will add new revenue streams to Homes.com. Our U.K. residential real estate portal on the market also achieved significant growth in our first year running it. In just one year, we've grown the number of advertisers 23% and the number of properties listed by over 40%. Our marketing investment has led to an increase in total visits by 75%, which in turn generated 42% more leads for agents. As a result, on the market has seen eight consecutive months of net new revenue growth. Last week, launched the new Homes.com second year with two -- we launched the new year, year two, with two new Super Bowl ads. I was proud that Adweek raised our ads as number two in Super Bowl ad ranking this year. We believe that Homes.com is now the best site for hub shoppers, sellers, agents and brokers. Homes.com has a clean spam free design, more content than other sites have, robust and growing product functionality and most importantly, a better business model in which all the parties can be aligned. We want to let the world know that Homes.com is the best, but our attorneys say we cannot legally say that. So we built an ad campaign trying to say that we are the best, but not doing it in line with our reality. This year, our two 30 second Super Bowl ads featured Morgan Freeman, Dan Levy and Heidi Gartner. When Morgan Freeman tries to say Homes.com is the best. It sounds like the voice of God. Overall, our marketing campaign for Homes.com continues to deliver strong results. In 2024 we delivered nearly 19 million impressions with nearly 3 billion impressions in Q4. In 2024, we ran more than 47,000 commercials, including spots and high profile media like the Olympics, the World Series, College Football, the NFL, the Grammys, the Emmys and across primetime TV and streaming video like Netflix, Disney, Paramount, YouTube and ESPN. We are also advertising on streaming audio partners like iHeartRadio, Spotify, Pandora and Amazon Music, including podcasts like Freakonomics, Mad Money and Conan O'Brien. We are all over social media with millions of impressions on Meta, Pinterest, Reddit and TikTok tack and whatnot. 90% of Americans have likely seen Homes.com ads. We believe that we have built the best site for buying and selling a home. Our members are gaining dramatically more exposure for their sellers on Homes.com. They're listing sell faster and for more money on average. And because our members offer superior marketing solution, they're winning 58% more listings. We had a great first year for Homes.com and we're building phenomenal momentum to create the leading site for buying and selling homes. I believe that we can win major share grow a third $1 billion business and generate substantial long-term EBITDA value for our shareholders. A quick update on Matterport. CoStar and Matterport have each certified substantial compliance with the FTC's second request and continue to work cooperatively with the FTC review of CoStar's pending Matterport acquisition. We believe we're on track for the deal to close in the first quarter. One of our main investments in 2025, we probably picked up will be growing our sales force. We plan to grow the sales force from 1,390 at December 2024 to reach 1,890 by December 2025. Adding approximately 500 salespeople will grow our sales force by 35%, and we believe bring significant revenue growth potential or incremental additional revenue growth potential to a great business. At this point, I'm going to turn the call over to Chris Lown, our CFO.
Christian Lown: Thank you, Andy. Full year 2024 revenue grew 11% versus the prior year. Coming in ahead of consensus and above the high end of our revenue guidance range. Full year adjusted EBITDA in 2024 came in above expectations at $241 million and a 9% margin also exceeding consensus on the high end of our guidance range. Our commercial information and marketplace brands delivered 43% profit margins for 2024, proving the underlying strength of the commercial product portfolio as we continue to invest in our residential and international strategy. CoStar revenue grew 10% in both the fourth quarter and full year of 2024, in line with our guidance. As mentioned on previous calls, CoStar revenue was positively impacted by the integration of the STR benchmarking into our CoStar platform. This integration resulted in approximately 4 percentage points of CoStar revenue growth in 2024. For Q1 2025, we expect revenue growth of 6% as STR has now been integrated into CoStar, and we expect 6% to 7% growth for the full year as we continue to manage through the challenging CRE markets. Apartments.com revenue grew by $153 million or 17% year-over-year in 2024, in line with our expectations and in line with Apartments.com's five-year revenue CAGR. We expect Apartment.com revenue growth of 11% to 12% for the full year of 2025, and we are forecasting 11% revenue growth for the first quarter. Our moderating growth rate in 2025 reflects the increased scale of Apartments.com and the impact of Apartments.com sales reps supporting both our commercial brand as well as the launch of Homes.com in 2024. We believe the expansion of our Apartments.com sales force throughout 2025 should bolster growth as we continue to penetrate the significant untapped TAMs. LoopNet revenue grew 5% in the fourth quarter and 6% for the full year of 2024, in line with our guidance. We expect that in the first quarter of 2025 and for the full year of 2025, LoopNet revenue growth will be in the mid-single digits, consistent with 2024 growth. Revenue from information services was $37 million in the fourth quarter and $136 million for the full year of 2024. We expect Information Services revenue growth for 2025 to be in the range of 18% to 20%, with visual lease contributing approximately $40 million of revenue. Revenue growth for the first quarter of 2025 is expected to be in the high-teens to low-20% range. Other marketplaces revenue was $36 million for the fourth quarter and $130 million for the full year 2024. We expect revenue growth for 2025 in the mid to high-single digits and first quarter revenue slightly below $30 million. We expect 10x transaction volumes to ramp through 2025, in line with an expected improvement in overall CRE transaction volumes. Residential revenue was $28 million in the fourth quarter and $101 million for the full year of 2024. Our 2025 residential revenue growth outlook is in the high-teens to low-20%’s range, and we expect first quarter revenue growth of approximately 40%. For CoStar Group, net income was $60 million for the fourth quarter and $139 million for the full year of 2024. We earned $213 million of net investment income on our $4.7 billion in cash in 2024 and or a 5.5% net yield. Our sales force totaled 1,390 people at the end of 2024, with the majority of the increase concentrated in our Homes.com residential business. We expect to have over 500 sales reps for Homes.com by the end of 2025. Due to the large untapped total addressable market in the commercial real estate and apartment markets, we are also expanding the sales force of CoStar apartments and LoopNet to capture that opportunity. Our contract renewal rate was 89% in the fourth quarter of 2024, and remains strong at 94% of customers who have been subscribers for five years or longer. Subscription revenue on annual contracts was 80% for the fourth quarter of 2024. Net new bookings for the fourth quarter was $53 million, representing a sequential increase of 21% from the third quarter of 2024. We expect net new bookings in 2025 to be higher than 2024, and as a result of our sales forces refocused on their respective businesses, a significant increase in dedicated Homes.com sales reps compared to the first quarter of 2024, increased sales forces in our other commercial businesses and improving market conditions in commercial real estate. In 2025, we are also announcing a share buyback program of $500 million. We expect to execute $150 million of share repurchase annually which will more than offset annual non-cash based compensation. Looking ahead to 2025, we expect full year revenue of $2.985 billion to $3.015 billion implying an annual growth rate of 9% to 10%. First quarter 2025 revenue is expected to range from $711 million to $716 million, representing revenue growth of 9% year-over-year at the midpoint. 2025 adjusted EBITDA is expected in the range of $375 million to $405 million, reflecting an adjusted EBITDA margin of approximately 13%. First quarter 2025 adjusted EBITDA is expected to be $25 million to $35 million. Our level of capital expenditures is expected to range from $400 million to $450 million in 2025 and with roughly $360 million of that total spend for our Richmond campus, which we expect to be substantially completed in the first half of 2026. Operating capital apart from the Richmond campus is expected to be in the $90 million range, an increase over prior years, primarily due to our planned CapEx for Arlington, Virginia headquarters. Our forecast for net interest income is approximately $170 million for 2025, taking into account our increased capital spend and possible interest rate reductions in the year ahead. This figure does not account for any M&A activity. Finally, we are withdrawing our five year revenue and EBITDA targets that we set back in February 2022. When we provided this guidance, we could not unforeseen the unprecedented long lasting downturn in the commercial and residential businesses over these several years. However, looking ahead, we continue to see significant growth opportunities in our core products. For CoStar Suite, the significant untapped TAMs, the inclusion of STR, the continued rollout and penetration of the lender product, expansion into Europe in 2025 and 2026 and additional in-development products, we've lost optimistic that CoStar will see double-digit growth again once we are through the CRE malaise. In Apartments.com, we expect to continue to see low to mid-double digit growth over the coming years, given the $2.6 billion TAM in 20 unit plus buildings and much more than that in the TAM for 1 to 19 unit buildings. These opportunities remain underpenetrated, and we are optimistic we will capture the lion's share of that opportunity as we continue to invest in the platform and deliver best-in-class metrics and service to help our customers achieve their objectives. With the relatively new head of LoopNet and brand new head of LoopNet sales, we expect LoopNet to again deliver double-digit growth in the future on the back of an expanded footprint and revised pricing strategy. Even in light of its growth from approximately $50 million when we acquired the company to nearly $300 million today, we expect this division to return to double-digit growth as we take advantage of these opportunities. With regard to our other businesses, like, real estate manager and Visual lease, Lands.com and BizBuySell, we believe these properties have long-term double-digit growth opportunities. Finally, given the meaningful industry changes in the residential real estate market, we remain enthusiastic about Homes.com as we continue to scale this platform to monetize what could be one of CoStar's largest businesses. As we increase our dedicated sales force through 2025, we expect revenue to increase in line with that growth, which will pay dividends from 2026 and beyond, delivering strong double-digit growth. In summary, I'm proud of our 2024 results delivered during a year of complicated by high interest rates, inflation and economic volatility. We remain focused on our strategic investments in the commercial and residential markets while producing record profit levels in our established commercial businesses. With that, I will now turn the call back over to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from John Campbell with Stephens. You may proceed.
John Campbell: Hi, guys. Thanks for the time. Congrats on a solid quarter.
Andrew Florance: Thank you.
John Campbell: Andy, last fall, you talked to being kind of midstream and the data collection efforts in some of the large overseas markets. And then, you guys have put out a series of press releases announcing new client partnerships. It seems like you’re -- the traction is building. I just wanted to get your take on just broadly, how long do you think it takes for international to somewhat rise is a needle mover for sweet or for CoStar? And then secondly, just international expansion to date, I mean it's kind of go unnoticed from the P&L standpoint, just as far as the investment level. I'm just wondering, if you can envision a time where you might want to accelerate that pace and more meaningfully boost the level of investment?
Andrew Florance: Sure. So we have been making steady progress there. We are in the process of implementing a little bit of financial discipline on P&L across our European operations and making sure that we're not running multiple versions, the same product running both the acquired and the general broader LoopNet CoStar platform. So we have a little bit of a case where we're running some duplicative costs. So one of the reasons you won't see as big a hit in the P&L in the years to come is that we're rationalizing some of those European operations not to run dual initiatives and move towards just a consistent CoStar LoopNet platform in Europe. As I mentioned, we'll have France up and running this year. Spain would be pretty quickly following that. And we are looking at -- moving all of our marketplaces in Europe to LoopNet this year in 2025. LoopNet is a lot easier to roll out than is CoStar, CoStar is a building-by-building sort of research process, whereas LoopNet is easier to pull together groups of listings that don't have to be comprehensive coverage, just it will be the -- we don't believe there's any other sort of pan-European international marketplace for market and commercial real estate that really meets the demand for cross-border leasing and sales activity. So we're making good progress on it. I do not see a massive P&L hit coming anywhere significant P&L hit coming associated with that in 2025. In fact, it will probably go the other way, but we continue to watch for opportunities to grow internationally, and we are making some decent progress on that front. And if you want a second question, we're having a sale today on questions.
John Campbell: I’ll go to queue. Thank you.
Operator: Thank you. Our next question comes from Pete Christiansen with Citi. You may proceed.
Peter Christiansen: Thank you. Good evening. I want to double-click on the guide for apartments this year. And I guess, considering you had 7%-ish, 8% growth in properties year-over-year in '24 against almost 17% revenue growth, as you think about that 11 to 12 for '25, can you just walk us through the mix of the assumption on property growth versus pricing? And is there a function of going down market, so I guess more properties, but it takes longer for you to scale into that big TAM opportunity? Is that how we should think about it? Thanks.
Christian Lown: Yeah. I'd say a couple of things. You're right on your metrics around growth in units and pricing. So what we have seen, just to clarify, I mean, $153 million of revenue, right, it's significantly bigger, that growth versus our biggest competitor. But we still see a massive TAM opportunity to move on units, so increase unit size, but also increased pricing as well. There clearly will be more of a unit increase over the next year versus price increase. And inevitably, as you go further down into the smaller buildings, it does change a little bit the dynamics. But we believe the TAM in the larger market is still double the size of our current revenue. So there's plenty of opportunity in our key market. There's huge TAM opportunity in the 50 to 100 and the 20 to 50 market. And the biggest TAM opportunity, you got to get it right, is actually the 1 to 19 property market. So I think you're thinking about it the right way, in that there's been a pretty even mix between units and pricing over the last couple of years. I think you will see more of a push on unit, at least in 2025. But there's so much opportunity that I'm not sure that once you get through it that it will matter that much.
Andrew Florance: Pete, you can see from our NPS at 94 that we spent a lot of time with our existing customers, and that's great. That leaves those great renewal rates, client loyalty. But that's one of the reasons why you saw a relatively low property growth and then more revenue growth associated with people buying same clients buying more exposure for the same properties in a slightly higher vacancy rate market for multifamily or lower occupancy market. We're aware that we invest a lot of time with existing clients in 2024, and part of our initiative in growing the sales force is to basically have the additional headcount we need to go out and reach more new rooftops. So those new rooftops are out there. We own -- there's many tens of thousands of folks. We didn't get to talk to at all in 2024, and we hope to talk to more in 2025. On the smaller properties, one of the things we did see this year is we typically sell to those small properties with our mid-market sales team, which is centralized in Richmond, Virginia. We saw a significant increase in productivity from that group this year. So they're getting pretty good at selling to those 20-unit, 30-unit apartment communities. So I'd say that things are going well at both the larger communities and the smaller and midsized communities. But again, I think the really interesting thing is the growth in the individual properties because that market is massive. The individual townhouse, condo, home, that kind of thing.
Peter Christiansen: Thank you. That's helpful. My second question would have been on rep productivity at that level. I guess, over time, you would expect that to improve. That sounds good. Thank you.
Christian Lown: It was remarkable. Looking at the chart, it's significant improvement, pretty encouraging.
Operator: Thank you. Our next question comes from Ryan Tomasello with KBW. You may proceed.
Ryan Tomasello: Hi, everyone. Thanks for taking the questions. I appreciate the updated commentary around the structural growth targets, Chris. I guess as it relates to the bottom line, I was hoping you can maybe talk about your approach to managing margins over the coming years, where you think core commercial margins might go relative to, I guess, the 43% you called out for last year. And for Residential, just generally how you're thinking about the timeline to narrowing those losses more to a breakeven level? Thanks.
Christian Lown: Yeah. Sure. So what is very apparent to me seven months into the job is really how fixed cost our commercial businesses are. So you see the power of the increase in the margins every year, every quarter. And so we talked about 1% or 2% increase in margins year-in and year-out, and we're continuing to see that. So I think you can expect to continue to see that going forward, there's no big capital requirements. We continue to invest organically. And so I think that still holds very true, and it's very true in this announcement. I think importantly for the Homes.com segment, as Andy mentioned, we launched last year, but I really see this year as a real full launch, right? So we have our sales team ramped up, will ramp up through the rest of the year. We have a product that is clearly defined in a value proposition. We have a sales team that is fully selling it. We will still experience cancels. Remember, our first quarter of 2024 was a big year and a lot of those contracts were 12-month contracts. So we'll see that wave finally abate after we get through the first quarter. So I think you'll have a much clearer picture on Homes.com as second and third quarter moves throughout the year, and you'll see that momentum build. And that's what we expect from the productivity, the reduction in cancellations, NPS scores increasing, sales force increasing. So I do think you'll just see it evolve from the first to the fourth quarter of this year, and that's what we're looking forward to.
Ryan Tomasello: Great. Thanks for taking the questions.
Operator: Thank you. Our next question comes from Alexei Gogolev with JPMorgan. You may proceed.
Alexei Gogolev: Hello, everyone. Chris, just to follow up on the previous question with your expectation of commercial margins continuing to improve by 1, 2 percentage points per year, what does that mean for Homes.com spend in 2025? Do you expect the U.S. portion to be roughly similar to last year? And what does it mean for international expansion for Residential business?
Christian Lown: Well, a couple of things. One, we've historically talked about our 2025 spend being roughly the same as 2024, and we're broadly in line with that. I would say we have a very close eye and pencil on expenses, and we are always looking for opportunities to make sure we're spending the right capital in the right way, but we are expecting '25 to look very similar to '24. And then on the international side, in the U.K., as Andy mentioned, we've had some great growth there in a number of key metrics that we look at. And we're expecting to start to harvest that in '25. And so I think inevitably, that it'll be slightly lower than 24%, given our investment in our acquisition; but still looking to push ahead, given a significant opportunity in the U.K. If you look at the peers, of our company, they have very attractive margins, very attractive cash flow, and we believe that we will inevitably win a lot of that business and take a leading position in that market.
Andrew Florance: Alexei, I would also say that there's a rotation where we're spending money. So you can see that headcount growth in sales. And so we are seeing cost reductions in a number of areas, and then we're reinvesting that into revenue generation. So the ratio of headcount on staff that's dedicated to sales versus producing the product initially is shifting. And then the final question I have for you is, are you in the office and you're not texting other people while we're on this call, are you?
Alexei Gogolev: No. Andy, I'm not. Thank you for this conference. I'm not texting anyone.
Andrew Florance: I just wouldn't want Jamie Diamond to find out.
Alexei Gogolev: I do have a JPMorgan background, if that makes you feel better. How about the additional comments with regards to the actual spend? Could you maybe give us some more color how are you progressing in terms of content, investments into schools and parks and some other areas? And how does that compare to last year? What sort of more investments are you planning and also investments around SMO, SEO as well as TV advertising?
Andrew Florance: Yeah. So our significant investments right now, going into 2025, are around salespeople. And we have made tremendous progress on unaided awareness going from low-single digit up to hit a high at 33%. I expect that will probably like the -- where we are going into February, March in unaided awareness with the next round of ads that you just saw with the Super Bowl. We are, in no way, increasing our investments on content or any of those other initiatives because we made tremendous progress on building that content in prior periods. And really matters now is controlling our costs and investing into revenue generation.
Operator: Thank you. Our next question comes from Stephen Sheldon with William Blair. You may proceed.
Stephen Sheldon: Hey, thanks. On LoopNet, how long do you think it could take for revenue growth there to accelerate as you shift more to the asset-based pricing model and shift sales focus more to the silver packages? It looks like you're assuming similar growth in 2025 to 2024, but do you think those changes could have an impact on bookings and move that as we think about rest of this year and potentially set up for acceleration into 2026? How are you guys thinking about it?
Andrew Florance: I'll give you an anecdotal answer, and then Chris will give you the official answer. But we're already in -- in January, 71% of our net new sales were the silver ad that's sort of super high renewing ad level, which probably is a flip from January the prior year where it was probably 71% of the sales being the depth advertising up in the diamonds, platinums. And we are seeing our best January and February tracking results in LoopNet in years based on that shift in strategy. But it is -- you're moving a pretty big ship. So it will take a while to actually have that reflect in year-over-year growth rates, but we're seeing really good initial results, and I'll let Chris give you the official answer.
Christian Lown: Yes, Andy was spot on. Our expectation is for the business to build momentum every quarter. So while we're expecting a fairly similar year-over-year growth versus '24, every quarter, we should see a little acceleration. And therefore, our exit rate in the fourth quarter should set us up for a good 2026. So that is our expectation. And as Andy just mentioned, the early signs of what we're doing will look positive.
Stephen Sheldon: Got it. That's helpful. And just a quick follow-on. That's helpful commentary on LoopNet. Curious if you can share anything on overall net new bookings activity in the first six to seven weeks of 2025 and whether things have continued to pick up, like you saw acceleration in 3Q into 4Q. Curious, what you're seeing there?
Christian Lown: We're not giving guidance, but I feel -- we feel very good about our first quarter guidance that we just gave.
Stephen Sheldon: All right. Thank you.
Operator: Our next question comes from Jeff Meuler with Baird. You may proceed.
Jeff Meuler: Yeah. Thank you. How are you monitoring, I guess, Apartments.com new logo win rates versus competitors? Or just what can you say like that gives you the most confidence that it's just a sales capacity issue and not a deteriorating win rate issue for Apartments.com with, I guess, an evolving competitive set? I just would have expected better apartments growth, easier comps and taking out the split sales responsibilities of building sales headcount, it seems like you have a number of things that should drive it.
Christian Lown: So let me just give you some numbers because I always find this an interesting discussion because people never really talk about the numbers. And so in 2024, we produced $153 million of additional revenue. Our next biggest competitor, I think, was $96 million. We have over 75,000 properties on our platform. They have 50,000 properties. Our revenue basis reached $1.1 billion. The revenue base is sub-$500 million. any growth rate that they put on the table, you have to have. You have to more than have because we're more than twice the size. And so inevitably, there was a distraction of the sales force. And because that happened in the first and second quarter, I mean, from a roll rate and a renewal perspective, it will impact us a little more in 2025. But I think we have incredible opportunity ahead of us. I think both of these businesses have incredible opportunity ahead of us. We think we can double our revenue in our core TAM. And as Andy said, our mid-market team does great, and we're actually going to push as we expand that sales force into those markets and really penetrate that TAM. But the lower level -- the lower unit TAM is also fairly large. So again, much more -- much bigger business, really attractive growth prospects, much higher margins. And Andy made a point, he was talking about as other competitors. Our competitors make us better, and we welcome the competition. But I think people have to put this back into context of what the size of our business is, what the growth of our business is, what the margin profile of our business is and what that represents. So we're enthusiastic. We're excited and we're looking forward to tackling not only the huge TAM we've already penetrated, but the other TAMs as well in the segment.
Jeff Meuler: Okay. Thank you.
Operator: Thank you. I would now like to turn the call back over to Andy Florance for any closing remarks.
Andrew Florance: Well, I think you hit Chris' button on that last question, but I have to agree. We're Apartments.com 94% NPS score, 99% monthly renewal, growing both headcount, growing production in the mid and in the upper end. So we had a very strong 2024. I want to thank all the staff who made it a strong 2024, the salespeople, the researchers, the software developers, the product managers. We look forward to delivering outstanding results in 2025 and reporting good progress on all of our major product areas. And thank you for joining us and look forward to seeing all of you in the near term.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.